Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to the Vera Bradley second quarter conference call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. As a reminder, today’s conference call is being recorded. I would now like to turn the call over to Mr. Mark Dely, Vera Bradley’s Chief Administrative Officer. Please go ahead.
Mark Dely: Good morning and welcome everyone. We’d like to thank you for joining us for Vera Bradley’s earnings call. Some of the statements made during our prepared remarks and in response to your questions may constitute forward-looking statements made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from those that we expect. Please refer to today’s press release and the company’s most recent Form 10-K filed with the SEC for a discussion of known risks and uncertainties. Investors should not assume that the statements made during the call will remain operative at a later time. We undertake no obligation to update any information discussed on today’s call. I will now turn the call over to Vera Bradley’s CEO, Rob Wallstrom. Rob?
Robert Wallstrom: Thank you Mark. Good morning everyone, and thank you for joining us on today’s call. John Enwright, our CFO also joins me today. We posted consolidated year-over-year second quarter revenue increase of nearly 12%. On a comp basis Vera Bradley was essentially back to it’s pre-pandemic fiscal 2020 second quarter revenue level and Pura Vida was up nearly 7% over the second quarter of fiscal 2020. Second quarter Vera Bradley brand revenues continued to improve as customers responded to product innovation, stores were fully operational and sales of travel related products rebounded despite anniversarying exceptionally strong mass sales from the prior year. However, we experienced two major factors that negatively impacted our results. First, the Apple iOS 14.5 update negatively affected Pura Vida revenues, primarily due to the impact it had on the effectiveness of Facebook and Instagram advertising. The Facebook and Instagram platforms have been our primary marketing vehicles to drive sales, and Pura Vida has maintained a market-leading position, consistently ranking as the number-one engaged brand in the jewelry category on Instagram. Our team is working diligently to quickly diversify a portion of our marketing resources to other platforms, and consequently, we began to see Pura Vida DTC sales volume build momentum throughout the balance of the second quarter and into the beginning of the third. We expect Pura Vida revenues will return to a 15% to 20% growth rate in the second half of the year. Second, like much of the industry Vera Bradley continued to experience supply chain challenges and significantly increased freight and tariff expenses that put meaningful pressure on gross margin in the quarter. We expect these pressures to continue for the moderate term, we were able to continue to diligently manage our SG&A expenses, and our balance sheet and cash flow remain strong. With our strong first quarter performance fiscal 2022 is off to a solid start with year-to-date earnings well ahead of last year and ahead of where we were in fiscal 2020 pre-pandemic. We realize we will continue to face certain headwinds and uncertainties for the balance of the year, but we also know that both our lifestyle brands have significant long term growth opportunities well beyond their core product categories. We are on track and remain committed to our vision to be a purpose driven, multi lifestyle brand high growth company. Now let me turn the call over to John to discuss the financials.
John Enwright: Thanks, Rob and good morning. Let me go over a few highlights for the second quarter. The numbers I will discuss today are all non-GAAP. For complete detail of items excluded for the from the non-GAAP numbers as well as a reconciliation of GAAP to non-GAAP numbers please reference today's press release. Consolidated net revenues totaled $147 million for the current year second quarter, an increase of 11.6% over $131.8 million in the prior year second quarter. Prior year revenues were adversely affected by temporary store closings and reduced store hours related to COVID-19. Although they were also substantially benefited by mask sales. For the current year second quarter, Vera Bradley Incorporated consolidated net income totaled $9.5 million or $0.28 per diluted share compared to net income in the prior year of $10.9 million or $0.32 per diluted share. Current year’s second quarter Vera Bradley direct segment revenues totaled $97.1 million a 19.6% increase over $81.2 million in the prior year’s second quarter. Since the company stores were temporarily closed for a portion of the prior year second quarter comparable store sales calculation is not pertinent. On an apples-to-apples basis comparable sales were nearly flat, down just 1.3% for the second quarter of fiscal 2020. Vera Bradley in indirect segment revenues totaled $16.8 million, a 5.1% decrease from $17.7 million in the prior year’s second quarter, reflecting reduction in orders primarily related to mass sales, partially offset by a rebound in specially in key account orders and other product categories that were negatively impacted by COVID-19 in the prior year. Pura Vida’s segment revenues totaled $33.1 million a 0.8% increase over $32.8 million in the prior year. Second quarter consolidated gross profit totaled $80.4 million or 54.6% of net revenues compared to $79.6 million or 60.4% of net revenues in the prior year. Keep in mind that in the prior year, we expanded our year-over-year gross margin by approximately 300 basis points to the sales of cotton masks, which was not replicated this year. The current year rate was negatively impacted by higher costs for inbound and outbound freight expense. In addition, the lower margin rate reflects higher tarriffs from previously duty free countries where we source products whose GSP duty status, duty free status expired at the beginning of the year. As has happened numerous times in the past, we believe Congress will retroactively reinstated duty status of the tariffs have been assessed so far this year. On average, this is this is negatively impacting us approximately 1 million per quarter. Consolidated SG&A expense totaled $68 million or 46.2% of net revenues for the current year second quarter, compared to $58.6 million or 44.5% of net revenues in the prior year. As expected, our current year SG&A expenses were higher than the prior year, primarily due to expense reductions related to COVID-19 last year. Our second quarter consolidated operating income totaled $13.4 million or 9.1% of net revenues compared to $21.1 million or 16% of net revenues in the prior year. Let me talk about our forward outlook. The retail environment continues to be uncertain, and future financial performance is difficult to predict. We are updating our estimates for fiscal 2022 based on our second quarter performance, current business trends and consideration of certain macro industry and economic conditions that could impact a company's sales and gross margin performance for the balance of the year. We are continuing to see volume and traffic increases over prior year levels and expect to control our operating expenses. However, like many retailers we are facing supply chain headwinds, including manufacturing delays, extended transit times and substantial projected inbound and outbound freight expense increases. Keep in mind that all forward looking guidance numbers are non-GAAP. While we are not providing quarterly guidance, let me give some directional commentary on the third quarter. We expect year-over-year revenues to increase by high single digits for the Vera Bradley brand, and by over 20% for Pura Vida. We also expect continued gross margin pressure related to ongoing supply chain challenges and incremental freight expense as well as a GSP issue. We are forecasting the GSP savings to flow through the P&L in the fourth quarter, but the third quarter margin will continue to be under pressure until GSP is renewed by Congress. For fiscal 2022, we have updated our annual expectation as follows: Consolidated net revenues of $550 million to $565 million, net revenues totaled $468.3 million in fiscal 2021. Free cash flow between $50 million to $55 million compared to $15 million last year. Consolidated gross profit percentage of 54.6% to 55.3% compared to 57% in fiscal 2021. The expected rate decline relates to an abatement in mass penetration this year, coupled with ongoing supply chain challenges and a substantial increase in freight costs. The retroactive reinstatement of GSP is included in the current year gross margin estimate. Consolidated SG&A expense of $260 million to $266 million, compared to $233 million in fiscal 2021. The expected SG&A increase is primarily related to Vera Bradley stores being opened for the full year, non-comparable compensation and Cares Act savings in fiscal 2021, and general variable increases associated with higher sales expectations. Consolidated operating income of $40 million to $46 million, compared to $34 million in fiscal 2021. Consolidated diluted EPS of $0.80 to $0.95 based on diluted weighted average shares outstanding of $34.6 million and an effective tax rate of approximately 21%. Diluted EPS totaled $0.63 last year. Net capital spending of approximately $8 million to $10 million compared to $5.7 million in the prior year, reflecting investments associated with new factory locations and technology and logistic enhancement. Now let me turn to the balance sheet. Cash, cash equivalents and investments at quarter end totaled $76.5 million compared to $77.1 million at the end of last year’s second quarter, and $65.5 million at last fiscal year end. We had no borrowings on our $75 million ABL credit facility a quarter end. Total quarter and inventory was $148 million, compared to $136.2 million at the end of the second quarter last year. Quarter end inventory was higher than prior primarily due to incremental Pura Vida inventory. We expect year-over-year inventory should be down by approximately 5% by the end of fiscal 2022. Rob?
Robert Wallstrom: Thanks John. As a reminder for fiscal 2022, the four key growth drivers for our company are: one, driving our digital first strategy by evolving the digital distribution of our products and further refining and utilizing digital experiences to serve our customers. Two, enhancing our product innovation, pipeline, collaborations and category extensions to attract new customers and increase share of wallet with existing customers. Three, building our community through marketing and by creating an impactful positive brand movement that not only enhances lives but deepens our customers brand loyalty, and four, evolving our distribution channels by focusing on future growth opportunities and addressing the changing retail environment in the consumer marketplace. Let's begin with Vera Bradley. As I mentioned at the end of last quarter, we were looking forward to continuing recovery of our travel and campus segments of the business in the second quarter. Research indicated that nearly three quarters of Americans plan to travel this summer alone and sales of our travel products have indeed been robust, exceeding are 2019 levels. On the other hand, although overall back school market has been strong, sales for non and accessory elements did not return to pre pandemic levels. Similarly at Vera Bradley, we saw growth in our back to campus business over 2020, but sales did not exceed the 2019 levels.. Like many in the industry, we faced supply chain disruptions that caused delivery delay throughout the quarter. We have experienced on average delays in 30 daysor so before a full assortment of goods was available for each of our product launches. Unfortunately, we do not expect this situation to improve in the fall season. We are working diligently to mitigate the situation as best we can but expect shipping delays and freight expense increases to continue for the near future. On the product front, we continue to be excited about our innovation pipeline and the development of new fabric offerings, which are important to not only increase the share of wallet with our existing customers, but to attract new customers to Vera Bradley. We remain very optimistic about our new recycled cotton collection and look forward to offering new coat, new solid color seasonally, solid galaxy gray purple and red will launch this fall. We will offer Navy in the spring and we will expand our black styles next summer. Our partnership with Lana Condor during the launch of the Cotton Reimagined collection help bring a younger and more diverse customer to the brand. We continue to build on the momentum in our other alternate fabrications like performance twill and our factory exclusive ultralight collection. We're constantly researching and innovating to bring our customers more eco friendly options and we are committed to updating 100% of our fabrics to more sustainable alternatives by 2025. We had another exciting quarter for product collaborations. Our classic accessories outdoor collection of furniture covers seating and lounge covers, accent pillows, umbrellas and rugs launched in June. In addition to being available on verabradley.com classicaccessories.com and then select Vera Bradley stores, this collection can also be purchased online through leading retailers such as Wayfair, Amazon, Lowe’s and Home Depot. And we launched the always popular Disney and Harry Potter mini collections during the quarter. In the marketing area, the substantial investments we have made in data data science, business analytics and customer data capture in the past, continue to pay off and are reflected in our marketing efforts and results. As expected, our customer count continue to grow. Our customer journey centered activations and customer level personalized messaging are meaningfully engaging new customers and aiding in the reactivation of labs customers across our full line in factory stores. We are driving more engagement on social media, specifically, specifically we are employing more user generated content, have grown our influencer and and investor programs, continue to enhance our social storytelling, and have expanded social selling. We are expanding our Tiktok engagement continuing to grow this platform to strengthen our Gen Z customer acquisition. These tactics along with our quality media placements continued to drive brand awareness with year-over-year media impressions up over 200% fueled by our Cotton Reimagined campaign with Lana Condor, summer travel collections back-to-school essentials and collaborations. We are proud that our marketing efforts are increasingly reflective of our commitment to a more diverse and inclusive audience. We are honored to continually amplify our VB Cares mission. In August, we entered the third consecutive year of partnership with Blessings in a Backpack to support the nonprofit's mission of providing food to millions of elementary school children across America who might otherwise go hungry. To date with the help of our customers we have donated over 750,000 to the organization. And this month the Vera Bradley foundation for breast cancer begins its series of annual fundraising events to support the groundbreaking research being conducted at the Vera Bradley Foundation Center for breast cancer research at Indiana University School of Medicine in Indianapolis. Today, the foundation has contributed over 36 million to the Foundation Center for breast cancer research. Our digital business has become a larger portion of our revenue over time, and stores continue to support this omni channel strategy. We want our customer to have a seamless shopping experience. Digital sales are typically higher in the markets where we have our retail presence, and the average omni channel customer spends over three times more than the single channel customer. Many customers have missed in person interactions and many are seeking shared experiences. We continue to focus on enhancing and reinventing the customer experience in our full line stores and certain digital shopping perks that gained popularity during the pandemic have remained popular, like appointment selling buy online pick up in store and curbside pickup. We are continuing to improve the profitability of our full line fleet by focusing on our highest potential stores, optimizing and localizing our servants and rationalizing our existing portfolio through select closures. We have closed three full line stores so far this year, and expect to close up to two more this fiscal year which would bring our total full line closings to 44 since the beginning of fiscal 2018. We have opened four new factory stores so far this year and expect to open two more by the end of October. During the quarter, we fully implemented afterpay across all Vera Bradley channels, allowing customers to pay for their purchases in installments gaining higher units per transaction and increased sales. We are also now excited to have distribution of Vera Bradley on target plus marketplace, which is a great exposure for our brand. And as sustainability and resale continue to gain traction, so does our partnership with thredUP which launched earlier this year. Now let's switch to Pura Vida. Even though Pura Vida’s business temporarily slowed in the second quarter due to the iOS update, we believe we are positioned to generate a 15% to 20% revenue growth for the second half of the year, driven by our new product launches wholesale growth, the marketing initiatives and adjustments we have put into place and our new store opening. One of the critical initiatives we completed during the quarter was our Project Novus ERP integration at Pura Vida, which unified our technology platform company wide, allowing for enhanced capabilities in sourcing customer service, CRM, data analytics and accounting among other areas. This critical infrastructure enhancement has strategically positioned Pura Vida for future growth. Innovation of Pura Vida continues, continues to be key to our growth. In addition to continually adding new designs and elements to our jewelry collections. We also have diversified well beyond jewelry. We are truly building a lifestyle brand. A great example of the extension of the Pura Vida lifestyle was the April launch of our April of our apparel collection of tees and hoodies. So far the top styles have been Pura Vida logos, tight eyes and surf graphics. Now we are broadening our size ranges, styles and logos. We believe this is a significant revenue opportunity going forward. We launched backpacks in May and last month we introduced our fun affordable hack collection. Items like apparel backpacks and hats not only appeal to our existing customers, but are driving new customers to the Pura Vida brand. In July, we collaborated with Disney on an exciting launch of Disney theme jewelry and hair accessories which Pura Vida and Disney enthusiasts equally love. This fun collection brought new fans to our brand. And we have been very pleased with the response to date. With a few other high profile product collaborations and licensing partnerships that will launch this fall. Stay tuned. We work with the popular lifestyle influencers [Indiscernible] during the quarter to launch a style pack that generated strong volume and appeal to a broader age demographic. Just last month we introduced our jewelry collection without bank star and influencer Madison Bailey which is appealing to a more diverse customer. As mentioned earlier, the recent Apple update impacted Pura Vida e-commerce revenues since we have historically relied on various platforms like Facebook and Instagram to reach our potential customers to drive sales. Our team has worked diligently to dive deeper into customer analytics and diversify a portion of our marketing resources to other platforms like Tiktok, podcasts and YouTube. As a result, we began to see Pura Vida DTC sales volume builds throughout the balance of the second quarter and into the beginning of the third quarter. Since its inception, Pura Vida has demonstrated expertise and engaging customers building loyalty and introducing new devotees into the Pura Vida lifestyle. We're continually focused on looking for new ways to creatively engage our customers, drive new customers to our brand, design more inclusive marketing and generate more efficiency and paid advertising. On the distribution front, our first Pura Vida store opened in San Diego's Westfield UTC mall in mid August and is off to a great start surpassing our initial plants. The store is allowing us to showcase the Pura Vida lifestyle with a full array of existing products and new product innovations, receive invaluable customer feedback and host influencer events. From the brand's social media follower count alone, we know how love Pura Vida is. However, we saw another level of the brand's power by the overwhelming response from Pura Vida’s community of enthusiasts, as they experienced the Pura Vida lifestyle in person at the store. We saw lines up to three hours for most of the opening day. The feedback and sales have been beyond our expectations. We certainly believe there are opportunities to expand the Pura Vida store concept to other locations. We are also thrilled that we have rolled out Pura Vida shop in shops in 23 Vera Bradley full line locations featuring a full assortment of jewelry items and the Pura Vida charity bracelet program has been rolled out in all Vera Bradley full line and factory locations. We have been very pleased with the results thus far. Our wholesale growth remains strong, as we continue to add new wholesale partners. We've added over 250 new accounts so far this year, which has exceeded our expectations and now dillards will be joining Nordstrom as a Pura Vida department store distributor. We continue to significantly expand our presence and existing retailers with larger in store presentations, and we are experiencing solid growth in core product categories with our wholesalers. Our current wholesale accounts on average have placed larger and more frequent orders than in fiscal 2020, as many have experienced a strong resurgence in traffic. In summary, we continue to drive our digital first strategy. We have made strategic shifts investments to pivot us to a digital first company evolving into a customer centric data driven technology enabled and digitally focused enterprise which allows us to effectively engage with our customers and offer a seamless shopping experience. Second quarter e-commerce sales grew over 20% over fiscal 2020. Over one third of our consolidated revenues are now generated from e-commerce sales. And excluding our factory stores over half of our total sales are driven by e-commerce. We are continuing to enhance our product innovation pipeline collaborations and category extensions as evidenced at Vera Bradley by the launch of our Cotton Reimagined collection, the introduction of other alternate alternative fabrics, our commitment to sustainability, and countless product collaborations and the continual newness and excitement in Pura Vida’s jewelry collections as well as expanding into the new Pura Vida lifestyle categories such as apparel, backpacks and accessories. We are building on our community through marketing. Vera Bradley continues to engage and grow its customer base through analytics, social media and VB Cares efforts. And Pura Vida has demonstrated expertise and its engaging customers, building loyalty and introducing new devotees into the Pure Vida lifestyle via Instagram. TikTok and Podcast. In evolving our distribution channels, we are continually looking for new ways to reach our customers and to reinvent the shopping experience from our verabradley.com website redesign to partnering with thredUP to the opening of our first ever Pura Vida store. Operator, we will now open up the call to questions.
Operator: Thank you. [Operator Instructions]. And we'll go first to Mark Altschwager with Baird.
Mark Altschwager: Great. Thank you. Good morning and thanks for taking my question. Just to start out, John, I apologize if I missed it. But can you give us some color on the Vera Bradley e-commerce sales in Q2 just the growth rates versus 2019?
Robert Wallstrom: Just a second, because I don't remember, off the top of my head. So, if you want to go to the next question I'll get that information for you.
Mark Altschwager: Okay. Sounds great. With respect to back-to-school just any more detail on how the season progressed through August. We've heard other brands talk about potential for an elongated season this year. Just wondering if you're seeing any indications of that? And then separately, any indications that delta variant is affecting the trajectory of the recovery in your travel categories?
Robert Wallstrom: Yes, mark, I could take that. I think first of all from back-to-school, we also expect that there'll be a more elongated back-to-school season. And again, we've seen growth over last year for sure in the back-to-school categories. But we just haven't got back up to the 2019 levels, which seems to be what we're seeing in the rest of the market in terms of kind of these accessories in non-tech categories. Regarding the delta variant, what has been interesting is we saw traffic continuing to improve quarter, I mean month-after-month throughout the quarter. When we got to mid-July, you saw that improvement slow. And it's kind of stabilized as we've moved through August. So there's been a softening of the upward trajectory. But still overall, we still think the consumer's strong. In terms of the travel category, we're still seeing a lot of travel happening out there. So we haven't seen a major suppression in the travel category yet. So we're watching it closely. But at this point we're still hopeful that the travel category will continue to be solid as we move through the year.
John Enwright: And Mark, in regards to your question regarding e-commerce compared to 2020 results in the second quarter, it's up approximately about 40%. And when you compare it to last year, its down about 30%. But don't forget last year there was a significant mass swelling that went through that channel.
Mark Altschwager: Right. Okay. Thank you. Then any detail you can share on AUR trends that you're seeing. And then I think the company effectively took some price increases a couple of years ago and offset impacted tariffs. Wondering if you see opportunities to raise price today to offset some of these the freight pressures and general inflation in AUC?
Robert Wallstrom: Yes. In regards to AUR trends, we are seeing AUR go up. So we are definitely seeing some benefit associated with that. In regards to kind of price increase we are having conversations internally to talk about kind of what and if we can take some price increases and what product categories we should take those price increases internally to pass through some of the challenges we're seeing in the supply chain.
John Enwright: Yes. So we anticipate doing price increases. We just want to make sure that we're surgical and how we approach it. So, more information will come on that in the following quarters.
Mark Altschwager: Okay. Make sense. Thanks for all the detail. I'll hop back in the queue.
Robert Wallstrom: Thanks, Mark.
Operator: We'll go next to Eric Beder with SCC Research
Eric Beder: Sure. Good morning, guys.
Robert Wallstrom: Good morning.
Eric Beder: Could you talk about longer term, what we should be thinking about in terms of the Vera Bradley store base? And let's talk about that first.
Robert Wallstrom: Yes. So, from a store-based perspective, we continue to see opportunity to reduce some of the full-line doors that are underperforming. And we think, still believe we still have growth opportunity in the factory channel. Now, while we think we're going to reduce the full-line doors we're definitely looking at opportunities to look at -- while resizing it, looking to open up new opportunities for Vera Bradley. So, we will be shedding some kind of current full-line doors, but ultimately looking for opportunities to open up some doors in discrete locations.
Eric Beder: And I know that you have a lot of cash right now. What are your thoughts in terms of acquisitions, buybacks, utilization of the capital?
John Enwright: Yes. As we've commented too, right now, we're focused on having conversations in regard to M&A activity and we're have -- Rob and I, certainly taking some meetings and certain having conversations around that. So that's our primary focus in regards to kind of where we think there we would utilize capital. But there's certainly an opportunity as we talk with the board to use our cash in the best way possible. And we do have an open program from a share repurchase perspective. So if we think that's the right thing to do we still have the opportunity to spend about $30 million for remainder of this year in cash -- in share repurchases if we determine that's the right way to use our cash.
Eric Beder: Okay, guys. Good luck in the backup.
Robert Wallstrom: Thank you, Eric.
Operator: We'll go next to Oliver Chen with Cowen.
Oliver Chen: Hi. Thank you. Hi, Rob, hi John.
Robert Wallstrom: Hi, Oliver.
Oliver Chen: Regarding the IDFA changes in the iOS, what are your thoughts on what will happen next in terms of pursuit of other platforms? And how there may or may not be risk in terms of facing that industry-wide challenge? Also second on fright and tariffs, why were they worse than you expected? And what do you think the risk factors are going forward unless its definitely been an industry issue. I'm a little -- I'm surprised that it was worse than you expected, but also not surprised in some reasons too? Thank you.
John Enwright: Yes. I'll handle the second part of the question and I think Rob will update the first part of the question. In regards to why the freight and tariffs were worse than we had initially anticipated. At the beginning of the year we had in regards to GSP we had expected it to happen in the first half of the year that the renewal, we expected to happen in the first half year with ultimately everything that's going on within kind of Washington D.C. There's not been much movement. There's a couple bills that the House has as well as the senate have. And there just hasn't been agreement. So we believe that ultimately we will see GSP get passed and it will be retroactive. But we thought it would have happened by now. So we're just assuming it will happen by the end of the fourth quarter. In regards to freight expense, everything we were hearing at beginning here we thought the issue was going to kind of -- the challenge was going to be kind of through the summer months and ultimately we were going to get some relief nearing the summer going into peak. We just haven't seen. And I think a lot -- there's a lot of different challenges there. So, we've seen COVID spikes in some of our factories which have closed down. Some of our factories which makes just delivery challenge getting deliveries on time challenging, We've seen some port closures in Asia which just means we have then ultimately longer lead times getting here to the U.S. And then the dwell time in kind of LA Long Beach port is back up to where it was in February. And then outside of that there's other challenges in warehouses and actually we're moving product through rail. So I think all the challenges have compounded. And our expectation at the beginning of the year and even at the beginning of the second quarter was some of that was going to bait. And now we don't see that abating at all this year. And we think it's going to be a -- it's some of the challenge into some part next year and it could be the full year next year so.
Robert Wallstrom: And I think from an expense standpoint, one of the challenges we have, Oliver, is it's been difficult, so we've moved some of our product to air and our product with the lower AUR and higher volume size and moving it via air is a very expensive alternative. So we're trying to really work through the complexity of what do we move to air. What do we leave on boat. How do we manage through that process. But that's why I think there's been a higher flow through of that expense that we anticipated. We did not anticipate using air as predominantly as we have at this point. On the Apple piece in terms of what's going on there. I think one thing that we're seeing with Pura Vida is first, they've always been good at migrating their marketing platforms. They were strong on Facebook. They became the dominant force on Instagram. They're moving now into TikTok. So they're doing a nice job of migrating continuing to evolve. They're starting to lean into podcasts and other areas Youtube, to continue to diversify. The second thing that we want to do is help them, get even stronger data analytics, leverage some of the learnings that we've been able to have over Vera Bradley to look at some traditional marketing channels in addition to kind of the forward digital channels and have a broader base. And as we begin to do that, and start leveraging their SMS, email, some of the just digital advertising, Google Search, SEO maximization, we think there's some opportunities for them to have a broader marketing platform. And we're seeing those early steps begin to pay off as the business momentum is recovering as it move through second quarter into third quarter.
Robert Wallstrom: And the only thing I would add to that as we can you to open stores, we only have one store for Pura Vida. But as we continue open stores, we'll have more opportunity from first party marketing, because we'll have more information about the customer.
Oliver Chen: Okay. That's really helpful. So related to the trends you're seeing, the inventory positions, if you could brief us on those at both brands, Vera Bradley and Pura Vida? And how are you feeling with that inventory and back-to-school period versus a holiday? Thank you.
John Enwright: Yes. So, from a Pura Vida perspective, inventory is probably on the high-end is higher than we probably would like it to be? If you remember last year, we had some challenges actually getting production in. And we over index for that, and ultimately, we're working through some of that inventory. So I'd would say, Pura Vida is well set up for holiday. They have enough inventory for holiday. And I don't have any concerns there. Not being able to suffice kind of any sales growth there. In regards to Vera Bradley. Vera Bradley's inventory is actually a little bit flattish to down from where it was last year. We are broken in a few different places. So as we continue to work through getting product here for holiday, we're, as Rob indicated, we're looking at airfreight. And airfreight associated with launches that need to be here on time. So think about that as holiday launches to have a defined amount of time to be here. So, we're trying to ensure we have the right product here on time. But overall, inventory from -- overall inventory from a Vera Bradley perspective is probably okay. There's just certain categories that we have to kind of ensure that we get here on time in order to hit the holiday sales.
Oliver Chen: Okay. And what about store traffic more generally? Does it continue to be volatile? And how are you thinking about it longer term versus the traffic indoor sales per square foot productivity levels versus 2019?
John Enwright: Yes. So, from a traffic perspective, it's been fairly consistent over kind if you think about the first two quarters in aggregate. But we saw a slowing down near the end of July in both the factory and full line business. They both slowed down as the delta variant became a little bit more ramping. In August, we've seen kind of it go back to kind of where it was prior to that. So, I think generally speaking, I think we would see kind of traffic yet at the same levels as it's been for the -- hopefully for the full part of this year, be fairly consistent down from where it was kind of call it to be at Q2 and Q1 from end of the year. If you think about kind of a sales per square foot, the hope would be kind of as we move into next year as the vaccination rates continues to get up as people continue to feel more comfortable. We would hope from a factory perspective that we get back to kind of a more normalized sales per square foot. And that kind of will be able to generate kind of the same level of sales that we were back in 2019. And as we evolve kind of a product lines and as we evolve from a full line perspective, what we're selling and the productivity at the start, we would hope we can get back to that level as well.
Oliver Chen: Thank you. And lastly, on the merchandise margins and promotional environment. What are you seeing now in terms of averaging the retail trends, full price selling? And also how might you expect holiday that proceed as it can be a little different than that environment? Thank you. 
Robert Wallstrom: So, from a promotional perspective, we are fairly consistent from where we were last year. That our intention is to stay fairly consistent in both brands. So, we would expect kind of maintain margin if you think about it to be fairly consistent with where we were last year. And I don't remember the second part of your question, Oliver?
Oliver Chen: The promotional environment and how you might plan for the holiday period as well?
Robert Wallstrom: Yes. So I don't see any significant adjustment from our current plans from a holiday perspective in either brands. I think we're well-positioned from an inventory as I said from our Pura Vida perspective. As we look at Vera Bradley, how to to think about kind of as we bring in new launches, as we bring in new category of product. If we need to be less promotional depending on kind of where inventory sits.
Oliver Chen: Okay. Thank you very much. Best regards.
John Enwright: Thanks, Oliver.
Robert Wallstrom: Thanks, Oliver.
Operator: [Operator Instructions] We'll go next to Steve Marotta with CLK & Associates.
Steve Marotta: Good morning, Rob and John. Rob, is it possible for Pura Vida to effectively get back on to Facebook and Instagram with workarounds? And if so, how long would that take?
Robert Wallstrom: Well, just for clarity, Steve, they're both. They're continuing to advertise on both platforms. They continue to be very important. It's just that they targeting an individual customers with all of the changes as not as effective as it once was. So you're not getting the same type of return on the advertising dollars, so the overall kind of conversion reach. So the teams continue to work on that. Continuing to refine the models. It's getting stronger. And I think with time, we'll get better and better at it. But it just -- we do believe that it's critically important to be able to supplement the strong Instagram and Facebook marketing with other advertising forms, so that we have more diversification in the marketing portfolio.
Steve Marotta: I see. And John, can you quantify airfreight in the first half and the second half?
John Enwright: Yes. From a dollar perspective, I won't get that. But ultimately, we're going to see more significant dollars work through the P&L in the second half of the year versus the first half of the year.
Steve Marotta: Okay. Fair enough. Thank you. I'll take everything else offline. Thank you.
John Enwright: Thanks, Steve.
Operator: We'll go next to Dana Telsey with Telsey Group.
Dana Telsey: Hi. Good morning, everyone. As you think about change with the Apple iOS platform shift, what are the markers that you're looking for to show that its improving? Or do you just have to transition to something else and just never expected to get back to the levels that it had been?
Robert Wallstrom: I think there's couple of things, Dana. First of all, what are we watching? I mean, what we're really watching is kind of a combination of on those two platforms. What is conversion from the advertising? What is the reach? What is the customer acquisition cost and the return on ad spent, the kind of metric that we're watching. When we're seeing some improvement in those, we do not anticipate getting back to the heights of that. And we do believe that it becomes more important that we diversify our marketing spent. So it will continue to be the dominant source of marketing for Pura Vida. But we expect to have more diversification as we move forward.
Dana Telsey: Got it. And do you see -- and with the optimal diversification that you're looking for, what do you want it to be as a percentage? And when do you expect to achieve it?
Robert Wallstrom: Right now, I think we're still working on what would be the optimal number. But what we expect -- we've already seen a reduction in our amount of advertising that's been spent on Facebook and Instagram by over 10% reduction in total spent so far in the quarter. We expect that probably will continue as we move into fourth quarter. And then, we're just going to have to watch in terms of how effective it would become with the new algorithms on Facebook and Instagram. And how effective the other platforms are. And so, we don't have an exact target yet. But we would probably expect with time as we get into next year under 75% of our spent would be -- I mean, with Instagram and Facebook.
Dana Telsey: Got it. And then lastly, just on you mentioned that you're testing the Shop&Shop, the Pura Vida and Vera Bradley test. What are you learning from that? Would you go forward? Is it bringing in a different customers that Vera?
Robert Wallstrom: Right now, what we're finding is that our customers engaging with that -- what we and we just back up. What we did in most of our stores is did the charity bracelet program. And what that just doing is engaging our customer, our current Vera Bradley customers coming in. They're not necessarily coming in for the bracelet, but when they're in our stores they're seeing it, picking up an incremental sale. In our factory stores we're doing a combination of the full priced charity bracelet program, which has been very successful even in our factory stores, as well as adding in some liquidation product which has also worked. So I wouldn't say that it is much a new customer acquisition opportunity as a wallet builder in our current Vera Bradley stores, which we think is just again, a good sign.
Dana Telsey: Got it. Thank you.
Robert Wallstrom: Thanks Dana.
Operator: And we'll go next Oliver Chen with Cowen.
Oliver Chen: Hi, again. I had another question about supply chain. So as you think longer term, do the factories that you're seeing now gives you an impression that you should change your supply chain or not in terms of what you look to do? And on your details on factory closures, which regions does that effecting most? And what percentage of your supplies from those regions? Thanks.
John Enwright: So, in regards to the factories and what we're think of, right. So what we are looking at is our opportunity for other country of origin opportunities to think about versus southeast Asia. So we're definitely looking into that. Some of the challenges, but still the vast majority of our product likely will still come from southeast Asia, even if we were to move it and so some of the associated with the freight and just a delivery and what's happening kind of here in the ports as well as kind of on the rail yards and warehouses, I think we'll just take some time to clean up. I don't see a significant change around that. We've looked at opportunities to move from different ports and to see if that would speed up our ability to get the products here. And it is really wouldn't. All ports are challenged right now. So we are assessing opportunities for changes in country origin to see if we can speed up kind of some of the factories. But that really a long lead. That's not going to be a fixed from a material perspective. Next year something we'll have to look at from a more strategic perspective. Some of the countries that were closed were Vietnam, Indonesia. And so, Vietnam is a fairly significant portion of you call it kind of mid-teens from a factory perspective kind of where we get our product. So that being closed for up to two to five weeks has kind of made it more challenging just to hit our delivery dates. And in Indonesia. it was closed for a couple weeks. And that's becoming a bigger part of our production facilities. As we've moved our production out of Myanmar, a lot of that is moving into Indonesia. And over time it will be probably one of the larger countries for us. And again that was only close to a few weeks. So the more critical one was kind of Vietnam.
Robert Wallstrom: And I think one thing that we've been able to do across Vera Bradley for a while and beginning to do at Pura Vida is just have a flexible supply chain. So when we have shops that hit, for example, we had significant production Myanmar, which we moved out into other countries and that we continue to just be flexible. That's part of the reason why we're moving more into Indonesia. And as John says, over the years ahead we think there'll still be adjustments in the supply chain as we continue to work.
Oliver Chen: Thanks for those details. Very helpful. And Rob, as you think about air freight, what is your general framework for which products would be more suitable for that expensive mode and why?
Robert Wallstrom: Yes. First of all, the number one factor is those products that are super time sensitive. So give giving an example of that could be something like a holiday pattern. We would hate for a holiday pattern to be four or six weeks late and really condense the holiday selling season. The good news is that most of our product has a more seasonless point of view. And so those are the things that we're not accelerating. But if there's a really important marketing initiative. If there's something that's hyper seasonal, those are the areas that we're looking at. We obviously look more towards things that take up a little less cubic space. But even in some of those cases we might have to bring some of those larger products in via air if it's time sensitive from a fabrication or a launch standpoint.
Oliver Chen: Okay, great. Thank you very much.
Robert Wallstrom: Thanks, Oliver.
Operator: And there are no further questions in the queue. At this time, I'd like to turn the conference back over to Mr. Rob Wallstrom for any closing remarks.
Robert Wallstrom: Thank you. We have an extraordinary culture and outstanding team, loyal customers and a clear vision to be a purpose-driven multi-lifestyle brand high growth company. Our strong cash position, debt-free balance sheet and capacity to generate free cash flow will allow us to continue to invest in our two powerful brands and seek out prudent acquisitions of other comfortable affordable purpose-driven brands over time. This year, we expect to deliver double-digit revenue growth over both fiscal 2021 and 2020. Post healthy operating income growth over the prior two years and generate free cash flow of over $50 million. We have an exciting future ahead and we believe we have the opportunity to create value for all of our stakeholders. I would like to thank the Vera Bradley, Pura Vida and corporate teams for the resourcefulness, tenacity and extraordinary work as we accomplish so much while continuing to navigate through this challenging environment. Thank you for your time and interest in Vera Bradley Inc. We hope you can join us for our third quarter call on December 8th.
Operator: And that conclude today's conference. Thank you for your participation. You may now disconnect.